Johan Hjertonsson: Welcome to our Q3 report conference for this year, 2024. Very welcome. I'm here together with Anders Mörck, our CFO. And if we go to the first slide, where we show our group structure, as you can see, the structure is completely unchanged compared to last time we talked. We had a good third quarter, despite the challenging business climate at the moment. Order intake and net sales are growing organically and profitability is at a healthy and strong level. The general demand is fairly subdued in many markets that we operate on, but it varies between the regions and industries. A weaker demand for businesses with disclosure to the construction and real estate markets, but the picture is mixed, as we will come back to later. And if we go into the total return for the listed portfolio, right, exactly. No change within the listed portfolio during the quarter. Earlier this year, we increased our holding in CTEX from 33.0% to 33.5% of the capital votes. We also participated in HMS Network's new share issue with our pro rata share, which was part of the financing of acquisition of Red Lion Controls in the U.S. Value development 17% during the year, whereas SIXRX increased 15.2%. And until yesterday, November 5, the portfolio value was SEK92.2 billion. Total return amounts thus to 18.2% so far this year, compared to SIXRX so far this year of 11.4%. And if we continue down into the next slide, the wholly-owned industrial operations, if I comment on that. And as I said, the order intake increased by 3% during the quarter. The organic increase was actually 2%. The overall demand is fairly subdued on the markets that we operate on due to the weak business climate. I don't think it's going to be that much weaker than where we are. But let's see. The future will tell. But it will be a fairly prolonged, slower cycle is I think the best guess. In general, the construction and real estate markets are so far most affected by the slowdown. However, our three largest business areas with exposure to these markets still show a relatively positive development. We are most likely gaining market shares in these areas. And net sales has increased by 2% and organic is plus 1% in the third quarter. And the quarterly EBIT amounts to SEK927 million, which is somewhat affected by slightly negative mix effects in between the business areas. We have good cost control, and the gross margin is strong, thus relating an operating margin of 14.9% in the quarter. So overall, we're satisfied with the outcome of the third quarter, given that we are in a slow economic cycle at the moment, as I said. Then we go into the next slide. And we have the acquisitions during 2024. And we have a high pace within the M&A area right now. We made three acquisitions during the quarter. This has been announced also separately. Through Swegon, we acquired a Dutch company HC Groep, a market leader in the area of indoor climate technology with a strong position on the Dutch market, with high end products offering with higher product offering with 10 different business labels, covering the entire building's indoor climate systems, including building automation. The company have 386 employees and a net sales in 2023 amounted to north of €100 million. Bemsiq acquired a Canadian company QEL that will strengthen Bemsiq's footprint even more in North America. QEL has a full suit of indoor air quality and refrigerant gas detection products. The company has 15 employees and a net sales in 2023 amounted to CAD8 million. And then Innovalift signed an agreement to acquire the Turkish company Arkel. Closing is expected later this year. And the acquisition of Arkel will give Innovalift a leading position expanding its geographic reach and complement its product portfolio components for elevators. Arkel is a leading Turkish manufacturing of components for elevators for both new installations and the growing modernization segment. The company has 410 employees and net sales in 2023 amounted to €62 million. And earlier this year, we finalized three transactions, these Innovalift, Eelectron and IPAS of Bemsiq, PBL and Condor to Nord Group. It all sums up to six acquisitions so far this year, all with a profit level well in line with Latour's wholly-owned operations and in total adding about SEK2.4 billion in net sales on an annual basis. And we're very happy with that, that we found these six fantastic companies that are now part of our family. And as I said, with very good profitability as well. Last but not the least, Latour Future Solutions have made two investments this year, and now holding a portfolio of nine sustainability-focused Swedish companies. Very exciting. And having said that, I should hand over to Anders, but I think that the slide on the list of holdings, right? We should go back to that. No, okay. We skipped that then this time. Okay, and then I hand over to Anders.
Anders Mörck: Thank you so much. And now we're going to talk about our different business areas. And we start with Bemsiq Group. The order intake for Bemsiq grew organically by 5% in the third quarter. Building automation continues to show a stable development while the metering business is a bit more volatile when it comes to the order intake. The total growth in net sales was 29%, explained by acquisition, but 10% were organic growth. This is a very strong performance then considering the challenging market that we have within real estate and construction industries. The operating profit amounted to SEK121 million with a strong margin of 24.7%. And this is despite several ongoing initiatives within product developments and completed recruitments during the year so far. So far this year, Bemsiq have finalized two acquisitions, both of them performing according to plan and adds 21% acquired growth during the quarter. So very well done, Mikael and his team. We turn the page and talk a little bit about Caljan. And as you know, Caljan's customers have been and still are much more conservative when it comes to capital expenditures. The pipeline is slowly increasing and order intake is now exceeding last year by 25%, which of course is very positive, but this is still on very low levels. And as an effect of the lower order intake, the net sales is below the corresponding period last year. Despite the lower volume, Caljan really shows a good gross margin and good cost control, leading to actually an increased operating profit with an operating margin of 15.7%. Very well done, Henrik and your team this quarter as well. We go to Hultafors Group. And you know, Hultafors is of course also in this market with a challenging market condition. The top line reduced by 4%. Half of it, however, was explained by currency. The gross margin is just below the corresponding period last year and the operating profit decreased to SEK227 million with a margin of 14.5%, which is still very good under the circumstances. We are continuously investing in product development, sustainability and digitalization to strengthen the company going forward for the long term. So very well managed by Martin and your team. We go for the next business area, which is Innovalift. And the order intake is still hampered by the weaker construction market, especially when it comes to the installations of platform lifts in China and Europe. Consequently, the divisions for lift manufacturing and installation and services are developing a bit slower. However, the components and modernization division is reporting a good growth in this market. In total, the net sales is 4% behind last year. And the gross margin is improving step by step. And so are the operating result, which increased to 72 million with a margin of 12.1%. And this is a nice improvement, but we can see that there is a room for further improvement going forward. So the only way is up, if you know what I mean. Innovalift has, as I said before, signed an agreement to acquire Arkel in Turkey. The transaction has not yet been finalized. It's slow, handled by the authorities in Turkey. But we expect it to take place during the fourth quarter. When completed, this will be a major addition to Innovalift. So all in all, it looks very good for Innovalift and very well done, Andrea and team. And we go to Latour Industries, where the picture is a bit mixed for the remaining businesses after we separated Innovalift from this business area. The underlying demand is good for REAC, and it's also good for [Max AGV] [ph]. Other businesses like LSAB is depending on the wood and mining industry and is quite weak right now. In total, the net sales grew 4% and 5% organically. But the operating profit is suppressed by the business units with lower net sales during the quarter. So it reduced to SEK20 million. Latour Industries is now focusing on continuing finding newer platforms to make new business areas for Latour in the future. Tina Hultkvist was appointed the new CFO from 1st of September. Many thanks to former CEO Björn Lenander and well done so far, Tina and your team for taking on this job to build new platforms going forward. We go to Nord-Lock. The business climate is gradually becoming more tough for Nord-Lock. But even though Nord-Lock is in line with last year, both in terms of order intake and net sales, which is quite strong, I would say. Currency effects has, however, had a negative impact on both net sales and profits. So the EBIT comes in a bit lower than last year with an operating margin of 24.1%. Here we have Daniel Westberg as the new CEO from 1st of August, when he took over after Marcus Lundevall that held the position as acting CEO for a number of months. And Marcus is now being back in the CFO position. So very well done both Daniel and Marcus and your team. And we go to the last but not the least business area, Swegon. And considering the business climate with its exposure to real estate and construction industries, Swegon is overall performing very well. Order intake grew by 5% in total, very much driven by demand in cooling and heating and within services. The net sales grew 7% in total and 4% organically. There is still a mixed picture between segments and geographies, of course. And thanks to a strong gross margin and good cost management, EBIT came in strongly at 13.7%, with an increased EBIT also in absolute terms. And as Johan said before, Swegon acquired HC Groep in the Netherlands, and this company is included in the figures from 1st of September. Very well done, Andreas and your team. And we leave the business areas and continue with the net asset value that increased from the beginning of the year to SEK216 at the end of September. And if we look at yesterday, it was SEK218 per share. And this concept constitutes a premium, if we compare it to our share price yesterday, of 36%. The consolidated net debt increased during the quarter from SEK11.6 billion to SEK13.4 billion. And this is of course explained by acquisitions in the period. The cash flow during the period was strong. And this gives us a net debt that corresponds to about 9% of the market value of our investments, leaving a nice headroom for further acquisitions. Thank you so much. And I would like to leave back to Johan.
Johan Hjertonsson: Thank you, Anders. We will soon come at the financial targets, but I would also like to comment a little bit on our listed holdings. And, you know, a majority of our companies that are listed have now reported to Q3. And the picture of a weaker business climate is consistent also there. Despite this, several of our listed companies are maintaining or actually increasing their profitability with margins on good levels. So overall, a really good job in the listed holdings. And also this morning, actually, at the same time as we released our report, also Securitas released its report and Securitas is making good progress in obtaining its 2025 margin target of 8%. So a fantastic report from Securitas also this morning. So great to see. And the acquisition activities are very high in the listed holdings, I'd like to point out. One example is Tomra, who after the reporting acquired c-trace, a German leader with digital waste management solutions. With this acquisition, Tomra can broaden its offering in the waste management and recycling area. Very exciting acquisition there. And then just in general, when we talk about our listed companies, we think that the board remuneration has to increase. And I will come back to that in a second. So having said that, our financial targets, as you know, is to grow more than 10%, to have an operating margin of more than 15%, and return on operating capital of more than 15%. So during the last 12 months, we had a growth, slightly negative growth on the last 12 months of minus 0.6%, EBIT margin of 14.1% and return on operating capital of 15.1%. This is an outcome we're actually pleased with. The targets are to be seen over a business cycle and are long term. And we are right now in an economic downturn. Growth is lower than before, but considering the slowdown in the economy, and also that our M&A activities during 2023 were purposely on a low level, we haven't added that much acquired growth. But as I just explained here earlier, obviously going forward, this will increase quite significantly in terms of growth from M&A. And the EBIT margin is strong, and the return on operating capital is satisfying. Great. So if we move on then to the next slide, Latour is a long-term sustainable investment company, and are responsible only creating long term value for our shareholders. In our wholly-owned operations, we continue to invest with a forward looking mindset, regardless of economic climate, to enable future growth and profitability. And at the end, create value for our shareholders going forward. To create value in our listed holdings, Latour plays an important role in the nomination committee. It is truly in both ours and all shareholders' interest that the companies have the best possible boards, which we as active principal shareholders can help ensure in the nomination committee work. In order to attract the best possible board candidates, both domestically, but also internationally, we want to significantly increase the board remuneration to levels that are competitive on an international arena. We believe that this is crucial to reach a broader circle of candidates, and in the end, ensure a higher quality of competence in our boards. And that's important for our quite large international Swedish based companies. So having said that, we thank you very much for listening in. And we now open up also for questions. Q&A.
Operator: [Operator Instructions] The next question comes from Linus Sigurdson from DNB Markets. Please go ahead.
Linus Sigurdson: Now, starting up, you alluded to this earlier in your presentation, but would you say that you've pushed your expectations of markets improving further into 2025? Or how should we think about this?
Johan Hjertonsson: I'm not a macro economist, and there are many of those out there. And it's extremely hard to predict the future. My best guess is it won't be a very deep recession, but it will be fairly prolonged. I think sometime next year, it should come back, but it's very hard to say exactly when and so on. And lots of things happen as we speak. And as you know, we have the outcome from the U.S. elections just a couple of hours ago here. Obviously, that has an impact as well. And so it's quite hard to answer that question. But with the best available data right now, you could say like this, if this is the low point in the low economic cycle for Latour, I think we've done quite well in that sense. That's another way of looking at it.
Linus Sigurdson: Yes. No, that's a fair response. And if I could ask on acquisitions, as you said, you've made a lot of them during the year. And I'm thinking primarily here about the industrial operations. How would you characterize the current pipeline for M&A in the industrial operations?
Johan Hjertonsson: I would say it's a good pipeline. We see a healthy number of opportunities out there to continue to add on good acquisitions to all of our seven industrial holdings, wholly-owned holdings. So it's a good pipeline out there. With touch on wood, then let's see. And then, lots of things are in negotiation and so on. But hopefully, we'll see more acquisition that will materialize going forward. Yes.
Linus Sigurdson: Thanks. And then a final question, if I may, on Swegon. You talk about a slightly weaker order intake in Q3 versus the first half, if I understand you correctly. Could you give some color on what's driving that in Q3 specifically? And then should we expect that weakness to continue into Q4?
Johan Hjertonsson: No, I would say, I'm asking Anders to chip in here as well. But overall, on all the seven wholly-owned business areas, we actually saw organically positive order intake growth in Q3. And I hope that will continue also going forward. And then Anders, if you want to comment more.
Anders Mörck: Yes, I think the question actually is that you see that it's seasonally lower during the autumn than the seasonally normally higher spring. So for us, we look quarter-to-quarter basis, we have organic growth. And that is a good sign for a company like Swegon when we do have this exposure to the construction and real estate markets, which we know that the market itself is not very good.
Johan Hjertonsson: But to sum up, rolling 12 for underlying growth is there. But if you look at it seasonally, it can vary. If you compare to the same period, it's still growing, which is quite strong. And that's what that's the point we're doing in a fairly weak construction market to grow.
Johan Hjertonsson: Then, as I can see, I guess there's no more questions lined up. And there's no written questions either. So from myself and Anders, thank you very much for listening in. And hope to speak to you again when we release the full year report in the beginning of next year. So thank you very much. And goodbye.